Operator: Good morning and good evening, ladies and gentlemen. Thank you, and welcome to DouYu International Holdings Limited's Fourth Quarter Full Year 2024 Earnings Conference Call. [Operator Instructions] Please note, today's event is being recorded. I will now turn the call over to the first speaker today, Ms. Lingling Kong, IR Director, DouYu. Please go ahead, ma'am.
Lingling Kong: Thank you. Hello, everyone. Welcome to our Fourth Quarter and Full Year 2024 Earnings Call. Joining us today are Ms. Simin Ren, Co-Chief Executive Officer; Mr. Mingming Su, Chief Strategy Officer; and Mr. Hao Cao, Vice President of Finance. You can refer to our fourth quarter 2024 financial results on our IR website at ir.douyu.com. You can also check a replay of this call when it becomes available in a few hours on our IR website. Before we start, please note that this call may contain forward-looking statements made pursuant to the safe harbor provision for the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and observations that involve known and unknown risks, uncertainties and other factors not under the company's control, which may cause actual results, performance or achievements of the company to be materially different from the results, performance or expectations implied by these forward-looking statements. All forward-looking statements are expressly qualified in their entirety by the cautionary statements, risk factors and details of the company's filings with the SEC. The company undertakes no duty to revise or update any forward-looking statements for selected events or circumstances after the date of this conference call. With that, I will turn the call over to our Co-Chief Executive Officer, Ms. Simin Ren, for business update. Ms. Ren, please go ahead.
Simin Ren: In 2024, amid the dual challenge of a soft macroeconomic landscape and intensified market competition, we remained focused on strengthening our game-centric content ecosystem. We adopted more flexible operational strategies, swiftly adjusting how we allocate our resources and diversifying our revenue streams while rigorously controlling costs and expenses, achieving incremental progress. First, we were pleased with the early success of our revenue diversification efforts. The promotion ramp-up of our voice-based social networking business and game membership services drove revenues from our innovative business, advertising and others to reach 28% of our total revenues for the year, marking a 63.6% increase in revenue contribution year-over-year. This growth partially offset the decline of our livestreaming revenues. Second, we continued to drive cost optimization. We proactively cut back on inefficient business and fine-tuned the compensation structure for streamers, reducing our content cost by 19% year-over-year. Additionally, by streamlining our business flow and aligning our staff structure, we achieved a 17% year-over-year decrease on -- in sales and marketing, research and development and general and administrative expenses. Third, we considerably bolstered shareholder returns. Drawing on the company's historical cash surplus and future plans, we declared 2 special cash dividends totaling USD 600 million on -- one in July 2024 and a second in January 2025. This distribution highlights our commitment to rewarding shareholders and also reflects our confidence in the company's stable growth potential over the long term. In addition, we continued to enhance our platform's ecosystem governance, strengthening compliance standards and fostering a healthy content and consumption ecosystem to support long-term sustainable development. Before diving into our 2025 growth plan, I'd like to share a brief snapshot of our performance in the fourth quarter. In the fourth quarter of 2024, our mobile MAUs were 44.5 million, increasing 5.9% quarter-over-quarter and decreasing 13.9% year-over-year. The year-over-year decline remains largely a result of the evolving gaming video content industry dynamics. However, the quarter-over-quarter increase exceeded our expectations and shows the benefits of our content-driven growth strategy. Our platform's content innovation and operational activities have consistently drawn in and retained high-quality users with this quarter's sequential MAU growth, led by 3 key drivers: first, stronger content partnerships; second, broadcast of mainstream international official tournaments and related operational activities; and third, more frequent game promotions that improved market awareness. Overall, despite short-term pressure on the platform's user base, we have been focusing resources on strengthening our core user base at the same time promoting our new business ventures, particularly game prop sales has helped us acquire new users. During the quarter, we broadcasted over 50 large-scale official tournaments. During the off season, we broadcasted nearly 40 self-produced eSport tournaments extending our cross-platform content co-creation partnerships. We rolled out collaborative events across diverse game segments. For example, the Honor of Kings [ Thunder Glory Cup S2 ], which we co-produced with multiple content partners featuring multiple top professional players from different platforms further strengthened its IP recognition. In addition, we gradually rolled out diverse self-produced tournaments for Valorant featuring professional teams and streamer communities, effectively maintaining high activity levels. Moreover, we tailored tournament production to align with streamer resources, new game launches and their unique gameplay characteristics. A notable example is the [ DouYu Golden Rush Cup for Delta Action ]. By implementing cross-platform content sharing, we effectively enhance the tournament's visibility. Beyond gaming content, we launched an array of entertaining annual events around the year-end holiday season, enriching the platform's content ecosystem and successfully maintaining user engagement. Moving on to monetization. Our total number of paying users in the fourth quarter was 3.3 million with a quarterly ARPPU of RMB 246. The year-over-year decline in paying user was partly caused by macroeconomic headwinds, leading to a continued contraction in the spending willingness of transient users on our platform. More importantly, we proactively adapted our user acquisition strategy, scaling back high-cost initiatives, such as cash subsidies. While these activities typically attract users in the short term, they fail to drive sustained user spending and drive up our operational costs. The total number of paying users remained stable quarter-over-quarter, highlighting the incremental progress of our adjusted user operations strategies and successfully stabilizing the spending patterns of our core users. We also launched products under a tiered pricing model for our core users to help promote our membership system with premium benefits and gaming product, increasing their payment frequency. For the broader user base, we promoted pricing-friendly revenue-generating product. Combined with the diverse game content and our platforms incentives and benefits, these strategies boosted user engagement, and we maintained our overall paying user base. Despite a year-over-year decline, our quarterly ARPPU slightly increased quarter-over-quarter, validating the effectiveness of our refined strategies. Furthermore, our innovative business continued to grow in the fourth quarter, gaining initial moment of and scalability. As we advanced our game prop commercialization initiatives, we consistently refined our strategy capitalizing on key gaming milestone and exploring additional marketing scenarios. For example, we integrated offline content with online sales to further encourage users' willingness to spend. Meanwhile, our voice-based social networking business expanded rapidly driven by our well-structured product design, effective recruitment mechanism and high-precision user targeting. Overall, in 2024, more intense industry competition and weaker consumer spending leads to a contraction in our total net revenues for the year. These factors place greater pressure on allocating our fixed cost, resulting in decreased gross margin and increased net loss. In light of this, the company's core strategy for 2025 will center on cost reduction, efficiency improvement and narrowing losses, emphasizing 3 key areas to improve our structure. First, we will reinforce our revenue resilience by unlocking monetization opportunities within our niche game ecosystem, advancing the commercialization of new business ventures. We will ramp up product innovation and marketing around game props, enhance AI capabilities and user conversion efficiency for our voice-based social networking business and continue to increase the revenue contribution from our innovative business. This will reduce our dependency on revenues from our livestreaming business and improve our ability to weather macroeconomic fluctuations. Our second priority is optimizing our cost structure to mitigate the adverse impact of scale inefficiencies. Over the past year, we performed an in depth ROI analysis of our content and tested multiple approaches to enhance returns. So far, the results have been modest. Moving into 2025, our focus will be on adjusting fixed cost components, especially content costs, in order to improve gross margin. In terms of streamers resource management, since the third quarter of 2024, we have gradually adjusted the streamer compensation framework introducing performance-based compensation assessment matrix. This has allowed us to achieve a year-over-year reduction in streamer compensation cost. Nevertheless, given our current revenue size, streamer compensation costs still account for a large portion of our total revenues. In 2025, we will continue to optimize our streamer resources through ongoing adjustments, leveraging flexibility -- flexible contracting models. We will actively explore cross-platform content cooperation, unleashing streamer traffic and commercial potential while significantly reducing streamer compensation costs. In terms of acquiring official tournaments copyright, with more platforms broadcasting official tournaments in 2024, the typical traffic driven to our platform from official tournaments content gradually declined. Our historical data suggests that large-scale eSports events have not significantly boosted our revenue, and in some cases, may have had a negative effect. Although we experiment with direct monetization activities in 2024, such as promotion -- promoting game props in official tournaments live streaming channels, these initiatives did not notably improve the ROI for copyrighted content. In 2025, we will focus on acquiring official tournament copyrights with higher ROI potential and work with copyright holders to secure more advantageous pricing, optimizing our copyright cost. Additionally, we are ramping up our AI initiatives to drive efficiency. Our intelligent content review system continues to evolve with integrative advancement in large models, improving the accuracy of identifying risk content and shortening processing time. At the same time, our R&D center is applying AI-powered programming productivity tools, which enable content-based [ difference driving ] code generation, boosting overall R&D efficiency. In February, we completed the technical research and development of open-source models based on DeepSeek. We expect our development efficiency to increase as AI programming tools become more deeply integrated. Operationally, we will continue to focus on our core business, extending our AI capabilities across a broader range of business scenarios, optimizing costs by reducing efficiencies and further streamlining the workforce. These initiatives are designed to boost productivity, reduce operating expenses and free up more resources to grow and innovative within our core business. Naturally, these adjustments might help achieve cost optimization goals. But they might also lead to a noticeable decline in our user base and revenue for a period of time. Additionally, favorable macroeconomic dynamic may extend the time line for narrowing of a loss. We have developed an array of contingency plans to mitigate these challenges. This includes consolidating platform resources for more content collaborations to ease traffic pressure and trimming key costs to ensure margin improvement among others. We believe that these initiatives will narrow our net loss in 2025, securing financial stability through cyclical macro fluctuation while balancing business growth. With that, I will now turn the call over to our Vice President of Finance, Mr. Hao Cao, to go through the details of our financial performance in the quarter.
Hao Cao: Thank you, Ms. Ren. Hello, everyone. In 2024, we continued to navigate challenges posed by macroeconomic headwinds and an evolving industry landscape. In response, our financial focus has been on revenue diversification, cost control and expense optimization. We made significant strides in diversifying our revenue structure with revenues from our innovative business, advertising and others increasing by 63.6% year-over-year to RMB 1.2 billion for the full year of 2024. However, both our gross margin and net margins were negatively impacted by an increase in overall revenue, coupled with relatively fixed cost components. Looking ahead to 2025, our top financial priority is margin improvement to restore our financial resilience. Let's take a closer look at our financial performance for the fourth quarter. Our total net revenues decreased by 12.3% year-over-year in the fourth quarter to RMB 1.14 billion from RMB 1.3 billion in the same period of 2023. The decline was primarily driven by a decrease in livestreaming revenues, which dropped by 28.4% to RMB 0.73 billion compared with RMB 1.02 billion in the same period of 2023. The ongoing macroeconomic softness and evolving user spending patterns were the key factors impacting livestreaming revenues. To address these challenges, we have continued our revenue strategy of focusing our core paying users, reducing new paying user acquisition promotions and prioritizing the promotion of more affordable product offerings to encourage consistent spending. As a result, we saw a year-over-year decline in both total number of paying users and our quarterly ARPPU, which decreased by 11.5% to RMB 246 from RMB 278 in the same period last year. On a positive note, our revenue diversification efforts are showing momentum. Innovative business, advertising and other revenues increased significantly in the fourth quarter by 47.2% to RMB 405.1 million up from RMB 275.2 million in the same period of 2023. The year-over-year increase was primarily driven by higher revenues from our voice-based social networking service and game membership service. With 8 consecutive quarters of growth in our innovative business, the contribution to total revenue from innovative business, advertising and others reached 35.7% in the fourth quarter, marking a significant milestone in our revenue diversification strategy. Cost of revenues in the fourth quarter of 2024 decreased by 8.8% to RMB 1.07 billion compared with RMB 1.17 billion in the same period of 2023. For comparison purposes, we reclassified certain costs related to our innovative business from other costs to revenue-sharing fees for the fourth quarter of 2023. After this reclassification, revenue-sharing fees and content costs in the fourth quarter of 2024 decreased by 9.3% to RMB 896.2 million compared with RMB 988.6 million in the same period of 2023. The decrease was primarily driven by a reduction in content costs as well as a decrease in revenue-sharing fees due to lower livestreaming revenues. However, this decrease was partly offset by increased revenue-sharing fees related to revenue growth in our innovative business. Bandwidth costs in the fourth quarter of 2024 decreased by 30% to RMB 70.3 million from RMB 100.5 million in the same period of 2023, primarily due to a year-over-year decrease in peak bandwidth usage. Gross profit in the fourth quarter of 2024 was RMB 69.8 million compared with RMB 126.2 million in the same period of 2023. The decline in gross profit was primarily driven by a faster decrease in livestreaming revenues relative to the cost of revenues, resulting in reduced gross margin efficiency. Gross margin in the fourth quarter of 2024 was 6.1% compared with 9.7% in the same period of 2023. However, we observed a slight quarter-over-quarter increase in gross margin, primarily due to decreased content costs. The sequential improvement in gross margin not only highlights our ongoing efforts to optimize content costs, but also reinforces our strategy for 2025 of continuously fine-tuning our cost structure to enhance gross margin. Sales and marketing expenses declined by 5.5% in the fourth quarter of 2024 to RMB 79.3 million from RMB 84 million in the same period of 2023. The decrease was mainly attributable to a decrease in staff-related expenses. Research and development expenses were reduced by 42.2% to RMB 34.2 million from RMB 59.1 million in the same period of 2023, again mainly due to a decrease in staff-related expenses. General and administrative expenses decreased by 10.4% in the fourth quarter of 2024 to RMB 71.7 million from RMB 80 million in the same period of 2023. The decrease was mainly attributable to reductions in staff-related expenses and provision for receivables and was partially offset by an expense related to our ongoing employee streamlining initiatives. Our loss from operations was RMB 183.5 million in the fourth quarter of 2024 compared with RMB 120.4 million in the same period of 2023. Adjusted loss from operations, which excludes impairment loss of goodwill and intangible assets, was RMB 108.1 million in the fourth quarter of 2024 compared with RMB 86.4 million in the same period of 2023. Our net loss for the fourth quarter of 2024 was RMB 163.7 million compared with RMB 62.2 million in the same period of 2023. Our adjusted net loss, which excludes share of loss in equity method investments, impairment loss of investments gains from fair value changes in long-term investments and impairment loss of goodwill and intangible assets was RMB 144.3 million (sic) [ RMB 68.8 million ]  in the fourth quarter of 2024, compared with RMB 5 million in the same period of 2023. For the fourth quarter of 2024, basic and diluted net loss per ADS were both RMB 5.43, while adjusted basic and diluted net loss per ADS were both RMB 4.78 (sic) [ RMB 2.28 ]. As of December 31, 2024, we had cash and cash equivalents, restricted cash, restricted cash in other noncurrent assets and short-term and long-term bank deposits of RMB 4.47 billion or USD 612.1 million compared with RMB 6.86 billion as of December 31, 2023. The year-over-year decrease in cash balance was primarily due to the special cash dividend distribution of USD 300 million and USD 20 million share repurchase program, both of which reflect our commitment to returning value to shareholders while maintaining a healthy cash position. Looking ahead, we are focused on improving margins and achieving financial resilience. We will continue to refine our operational efficiency and pursue profitable growth, particularly by lowering our content costs and growing our innovative business. We are confident in our ability to navigate market conditions through the solid execution of our strategies and remain dedicated to creating long-term value for our shareholders. This concludes our prepared remarks for today. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Today's first question comes from Nelson Cheung with Citibank.
Fuk Lung Cheung: [Foreign Language] So let me translate myself in English. I have 2 questions. The first question is regarding the new business growth drivers entering into 2025. Wondering if management can introduce on your audio business? And what is your expectation regarding the audio business and game props business as well? And then my second question is wanted to -- wanted management, wondering if you could share what's your plan on the future use of cash?
Simin Ren: Thank you, Nelson. So I'm going to answer your first question. In 2024, revenue from innovative business, advertising and other increased by 36.6% year-over-year and accounted for 28% of our total revenue, which is a significant improvement from last year's 13%. Our voice-based social networking business and game membership program are the 2 key drivers of our revenue diversification strategy. In 2025, we plan to allocate more resources to our innovative business further propelling revenue growth. Let me briefly outline our voice-based social networking business. Our chat room live streaming and other voice-based interaction format bring users and immerse social audio experience. Streamers can interact with users in real-time within their chat rooms while users can engage by sending voice messages and joint voice chat with streamers and other participants. Additionally, users can express their appreciation and support for streamers by purchasing and sending virtual gifts, fostering stronger connections and stickiness between users and streamers and generating revenue for the platform. In terms of commercialization, our voice-based social networking business mainly generates revenue from virtual gift sales with a small portion coming from subscription-based membership services and virtual customization options. In 2022 -- sorry, in 2025, our voice-based social networking business will focus on 3 key areas. First, we will adopt more refined traffic distribution strategies to improve the efficiency of traffic utilization, specifically targeting higher user conversion rates. Second, we will integrate AI capability into the voice-based social networking scenarios to enhance social matching efficiency and overall user experience. Third, we will continue innovating product features and revenue-generating activities to expand user consumption scenarios and increase overall revenue. For our relatively established game prop sales, we will continue to advance the following 3 business models. First, we will partner with game developers on joint large-scale promotional campaigns to increase business visibility and draw in traffic from external channels. Second, we will extend the multi-platform marketing approach led by game developers to more streamers, encouraging them to engage in more commercialization ventures. Third, we will strengthen our game membership program by combining platform benefits and incentives with game props to drive product innovation. At the same time, we will expand the membership program to more gaming segments for continued revenue growth. Overall, in 2025, we expect revenue from innovative business advertising and others to remain a healthy growth trajectory and contribute approximately 35% of our total revenue.
Hao Cao: Let me answer the second question regarding cash usage. Following the dividend distribution in February 2025, we had cash and cash equivalents, restricted cash and short-term and long-term deposits of RMB 2.24 billion as of the end of February 2025. In line with our overall business plans for 2025, we aim to substantially reduce our net losses. Given this, we believe the company maintains sufficient cash reserves to manage business fluctuations and support the orderly development of our business initiatives. Thank you.
Operator: Our next question comes from Ritchie Sun of HSBC.
Ritchie Sun: [Foreign Language] We have tweaked our strategy for a while, and there have also been 2 large dividend payouts. So how should we interpret the long-term development strategy for the group going forward?
Mingming Su: Thank you for your question. I think we outlined much of the background and direction of our operational strategies adjustments in our prepared remarks. To build on this a bit and given the evolving competitive environment and our current revenue scale, it is paramount for us to reevaluate the ROI of our business as a platform deeply engaged in the game-centric diverse content industry. So this strategy is not about a contraction, it's about reallocating our resources from inefficient initiatives to high-value business segments. The strategic steps we are taking will continue to strengthen the platform's core content advantages in niche segments and alleviate the pressure on our margins. Meanwhile, we continue to identify and go after opportunities that will grow our business and revenues. We are also prioritizing shareholder interests with our buyback program and the special cash dividend allocation totaling USD 620 million. Since 2024, we repurchased USD 20 million in share buybacks and we have issued 2 special cash dividends of USD 300 million each. The decision to distribute this special cash dividend was primarily based on the company's cash surplus and future cash utilization plans. We believe that cash dividends are the optimal way to improve the utilization of our surplus cash. Overall, I would summarize our trend as exchanging short-term operational adjustments for stable healthy growth. Further, particularly in 2025, we aim to improve margins by reducing content costs, streamlining our workforce and improving operational profitability. Then we plan to enhance our revenue mix by growing innovative business, building a healthy business ecosystem and striving for operational profitability. In the long term, we remain committed to fostering a vibrant game-centric content ecosystem focusing on differentiated operations for core users and continuously optimizing our diverse content. Thank you.
Operator: And our next question today comes from Raphael Chen at BOCI Research.
Yiqun Chen: [Foreign Language] I'm just wondering the user and the financial impact of tournament procurement and the streamer strategic adjustments on our platform.
Simin Ren: Thank you, Raphael. Regarding your question on cost restructuring, let me address copyrighted content and stream content separately. First, let's look at copyright content. We have been applying a flexible approach to acquiring copyright since 2022 that aligns with our company's development goals, historical ROI from copyright content and copyright fees. In 2025, our primary goal is cost reduction and loss narrowing based on mobile-focused operations. After thoroughly assessing the contribution of official tournaments to traffic, revenue and associated costs, we identified certain high-cost copyright tournaments that didn't meet our ROI standards. As a result, we decided to forego acquiring some copyright tournaments in 2025, where we couldn't justify making continued investment based on the elevated copyright fees and diminishing returns in incremental traffic growth. Much of our platform's traffic from these games have historically come from tournament users, mostly users on PCs, TVs and other large screens, which are less conducive to promoting and marketing our mobile business. Additionally, the potential for commercializing tournament traffic on a large scale was still limited. Since monetization mainly depends on redirecting tournament traffic to other content on our platform, the process was long and inefficient, leading to lower monetization efficiency. With this in mind, we prioritized more cost-effective tournaments such as Peacekeeper Elite, which boosted strong commercialization [ moment ] and the wildly popular King Pro League, which leads a border audience base. Our official content-driven activities around these 2 events have shown promising results. For example, we successfully promoted game props within the official Peacekeeper Elite live streaming channel, including marketing campaigns led by game developers and DouYu's game-specific membership program. By linking these gaming accounts and completing specific in-game and interactive tasks in the live streaming channels, users are rewarded for redeeming game props. This approach not only boosted traffic to tournament content, but also increased in-game engagement creating valuable commercialization scenarios for both our platform and game developers. Honor of Kings was similar as a mobile game with broader upheld across demographics and extensive official tournament content, it offers us upheld opportunities for derivative content creation and operations to convert tournament viewers into game content users more effectively. Furthermore, we have been in discussions with game developers to secure more favorable copyright pricing. At the same time, we are exploring ways to optimize ROI on copyrights through flexible partnerships. Based on these strategies, we expect that our 2025 full year copyright cost to decrease significantly year-over-year. We also recognize that the absence of copyright events in certain gaming segments could temporarily affect our platform's overall traffic. We will closely monitor the dynamic in gaming segment missing copyright tournaments with the goal of offsetting any traffic decline with a diverse range of self-produced content and platform-wide operational activities to help minimize the impact of overall engagement on our platform. Then let's turn to streamer content. The adjustment of streamer resources is a key initiative for optimizing the company's business efficiency in 2025 aimed at optimizing the cost structure, reducing fixed cost pressure and laying the groundwork for the company's long-term healthy growth. In line with our goal of significantly narrowing operational losses, we will be fine-tuning stream our resources and reducing streamer compensation costs to alleviate pressure on gross margin. These adjustments include adopting a more flexible streamer contracting models to fulfill leveraging streamer resources, actively advising -- advancing content creation and expanding content partners and models as we build on last year's cross-platform content creation partnership. While these refinements will impose short-term pressure on the business, we expect a clear decline in platform traffic as the adjustments are phased in. Accordingly, revenue from the live streaming virtual gifting might also face some pressure. Nevertheless, we firmly believe that this adjustment is a crucial step in the company's proactive effort to break free from inefficient operations, a necessary measure to facilitate our long-term growth. We will redirect resources towards cost-effective streamer assets, self-produced content and commercialization initiatives. These initiatives will improve content ROI and enhance gross margin in the long run. The development focus will be directed towards our innovative business, driving growth in revenues from new business ventures. We will focus on diversified monetization streams such as game prop sales, voice-based social networking services and other opportunities. With a refined revenue structure, improved gross margin and optimized operating expenses, we will achieve our goal of significant narrowing operational losses. At last, let's turn to the potential impact on our financials. Some adjustments such as those 2 copyrighted content will deliver immediate cost savings, while others like streamer adjustments is a relatively ongoing process. As these adjustments continue, we expect a noticeable year-over-year decrease in content costs, leading to a significant improvement in gross margin for 2025.
Operator: And our next question today comes from Thomas Chong with Jefferies.
Thomas Chong: [Foreign Language] My first question is about the G&A expenses. Can management comments about the sequential increase? And my second question is about the 2025 operating profit. Can management share about how we should think about the outlook?
Hao Cao: Okay. Thank you for the question. We have been consistently working to optimize our operating expenses as we manage to reduce staff costs by streamlining our workforce. We also took a measured investment approach to marketing our innovative business. Overall, in the fourth quarter, our sales and marketing expenses, G&A expenses as well as R&D expenses all declined year-over-year. The quarter-over-quarter increase in G&A expenses was mainly due to the costs related to workforce optimization aligned with our business adjustments. Looking ahead to 2025, while our business adjustments may exert some pressure on revenue growth, we remain committed to optimizing our cost structure and controlling expenses to improve gross margin, enhance business efficiency and reduce operating expenses. We expect some improvement in our operating losses for 2025 as compared to last year. Thank you.
Operator: Thank you. This concludes the question -- that's all the time we have for questions today. I will now turn the call back over to management for closing remarks.
Lingling Kong: Thank you. On behalf of the management, thank you for joining our call today. We look forward to speaking with everyone next quarter.
Operator: Thank you. This concludes today's conference call. You may now disconnect your lines, and have a wonderful day.